Operator: Greetings and welcome to the ATA fiscal 2013, fourth quarter and yearend financial results. At this time all participants are on a listen only mode. A brief question and answer session will follow the formal presentation. (Operator Instructions), as a reminder this conference is being recorded, it is now my pleasure to introduce your host Carolyne Yu of the Equity Group, thank you Ms. Yu you may now begin.
Carolyne Yu: Thank you operator and good morning everyone, thank you for joining us, copies of the press release announcing ATA's fiscal 2013 fourth quarter and year end results are available at the IR section of the company's website at www.ata.net.cn. As part of this conference call, the Company has an accompanying slide presentation available on the Company’s website. You are also welcome to contact our office at 212-836-9600, and we would be happy to send you a copy. In addition, a replay of this broadcast will be made available at ATA’s website for the next 90 days. Before we get started, I would like to remind everyone that this conference call and any accompanying information discussed herein contains certain forward‐looking statements within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act of 1995. Although the Company believes that the expectations reflected in its forward looking statements are reasonable as of today, those statements are subject to risks and uncertainties that could cause the actual results to differ dramatically from those projected. There can be no assurance that those expectations will prove to be correct. Information about the risks associated with investing in ATA is included in its filings with the Securities and Exchange Commission, which we encourage you to review before making an investment decision. The Company does not assume any obligation to update any forward‐looking statements as a result of new information, future events, changes in market conditions, or otherwise, except as required by law. Regarding the disclaimer language, I would also like to refer you to slide two of the conference call presentation for further information. All USD amounts in this conference call, relating to financial results for the Company’s most recent quarter ended March 31st, 2013, are converted from RMB using an exchange rate of 6.2108 RMB to 1 USD, all historical conversions are accurate as of the time reported unless otherwise noted. The Company reports its financial results under U.S. GAAP in RMB, and all percentages calculated in the presentation are based on RMB unless otherwise noted. For those of you following along with the accompanying PowerPoint presentation, there is an overview of the Company on slide three. The company's CFO Mr. Benson Tsang will provide an overview of operational and financial highlights for fourth quarter and fiscal year 2013 beginning with slide 4, the company's Chairman and CEO Mr. Kevin Ma will then provide closing remarks, with that I'll turn the call over to ATA's CFO Mr. Benson Tsang, please go ahead Benson.
Benson Tsang: Thank you Carolyne and good morning everyone. Today we'll provide an overview of our financial and operating highlights and discuss our outlook and growth strategy for fiscal year 2014. Slide 5 shows some operating highlights for fiscal year 2013, during fiscal year 2013 we delivered 8.7 million billable exams, approximately 9% increase over the 8 million delivered in fiscal year 2012. The growth in the number of tests delivered was largely due to the successful delivery of 1.4 million exams for the first computer based China CPA exam in October as well as increased volumes of exams delivered for the China Banking Association. During 4th quarter 2013 we delivered 1.1 million billable exams, compared to 1.3 million in the prior year period. This decrease was primarily the result of weaker demand for the Securities exam due to challenging conditions in the financial sectors in China. During fiscal year 2013 we also completed campus recruitment projects for a number of large corporations, both domestic firms and multinationals, during 4th quarter 2013, we took on campus recruitment projects for a number of banks including bank appraisal and a new clients (inaudible) bank. Each bank has specific needs and ATA tailored each exam to their needs. During this past fiscal year we also highlighted the importance of diversifying ATA's business away from its reliance on government sponsored exams and make significant investments in growing our TOEIC and HR Select businesses. The results from our sales and marketing push were short of our expectations. We are making adjustment to improve these efforts which (inaudible) will discuss in greater detail later on. On the right hand side of the presentation is a map of our expansive nationwide network of about 2,800 test centers which enables ATA to deliver large scale exams simultaneously and cost effectively for our clients. We believe we are the only provider of this kind of large scale testing solution in China. Now I would like to discuss our financial highlights for the quarter and fiscal year on slide six. We achieved better than expected net revenue results for 4th quarter 2013, and as a result beat consensus estimates for the quarter. However we faced a number of challenges in fiscal year 2013, and our gross margin continued to be impacted by a year over year decrease in SAC exam volumes, which resulted in lower contributions as a percentage of revenue, decreased revenue contribution from online continued education services for the financial securities industry and implementation expenses to ensure client satisfaction and smooth delivery of the new China CPA exams. As a result of these challenges we revised our net revenue and non-GAAP net income guidance during third quarter 2013 and managed to exit out guidance due to stronger than expected fourth quarter 2013 revenues. Fiscal year 2013 net revenues increased about 4% to $367 million from RMB362 million in the prior year period, largely due to increased revenues from traditional testing services. On slide 7, we show our fourth quarter 2013 results compared with our analyst estimates. We were pleased to have exceeded the market consensus estimates including those for net revenues and gross profits. On the next slide we breakout revenues for fourth quarter 2013 and fiscal year 2013 by our businesses which can be broken down roughly into two areas; testing services, and test preparation and training solutions. At 86% our core segment of testing services was a significant percentage of our total revenue in the 2013 fourth quarter. Testing services include exams ranging from professional certification exams in various industries such as securities and futures, to exams resulting from our private sector business which includes TOEIC and HR select exams. During fiscal year 2013, the new CPA exam and increased volumes of the banking exam contributed to the growth we saw in our traditional testing services exam. During the period we also saw some growth in our TOEIC and HR select businesses with lower revenue contributions from test prep and training solutions and other revenues. On the next slide we have provided a breakdown of the company’s financial results for the quarter. Gross profit for fourth quarter 2013 was 57% compared to 54.3% in the prior year period as a result of realizing revenues over a number of exams who's corresponding costs were recognized in third quarter 2013. We reported net loss of RMB6.1 million compared to net income of RMB3.3 million in the prior year period primarily due to increased operating expense related to the streamline exercise. Diluted losses for ADS where an RMB0.28 in fourth quarter 2013 compared to diluted earnings per ADS of RMB0.14 in the prior year period. You can see a summary of financial results for fiscal year 2013 on slide 10. Net income for fiscal year 2013 was RMB23.2 million for the period or diluted earnings per ADS of RMB $1. On slide 11, we provide a supplemental chart of quarterly numbers adjusted for share‐based compensation expense and foreign currency exchange gains and losses. Please feel free to review in its entirety and I would like to highlight that excluding these items, adjusted net loss for fourth quarter 2013 was RMB 2.8 million compared to adjusted net income of RMB5.9 million in the prior‐year period. Diluted losses per ADS, three and fourth quarter 2013 on a non-GAAP basis was RMB0.12. Adjusted net income for fiscal year 2013 was RMB36 million compared to RMB64.5 million in the prior year period, and diluted earnings per ADS on a non-GAAP basis was RMB1.58. We continue to be supported by free cash flow and a solid balance sheet which we have highlighted on slide 12. As of March 31, 2013 we had about $46.7 million in cash. We have no long-term debt or short term borrowings and continue to follow a strict cost structure that has served us well over the past several years. Finally I would like to discuss our outlook for our fiscal year 2014. Fiscal 2013 was a challenging year for AT, in light of this fate of the global economy which had an impact on China as well as the conditions in components which caused some delay in discussions surrounding new potential projects and existing negotiations. Due to a slowdown in the financial sector ATA delivered lower volumes of the SAC exams in fiscal year 2013. As we stated in last quarter’s earnings we believe the sector has begun to show signs of recovery and ATA is working with the SAC to offer the exam an additional six times in fiscal year 2014 in select cities of the determined dates and times. We will continue working to execute on our growth strategy while maintaining our commitment to our test particulars and hence providing them with value of both quality certification and skill assessment services. Slide 13 shows our annual guidance for fiscal year 2014. We expect net revenues for fiscal year 2014 to be between RMB403 million to RMB423 million and non-GAAP net income to be between RMB37 million and RMB47 million. In addition, based on existing exam schedules, we expect first quarter net revenues will be in the range of RMB78 million to RMB88 million. Please keep in mind that this guidance is based on our own internal growth projections, and we will continue to evaluate our projections on an ongoing basis. With that I would likely turn it over our Chairman Mr. Kevin Ma for remarks.
Kevin Ma: Thank you, Benson. Going to fiscal year 2014, we remain confident and optimistic about growing our share in the testing market. Now that, the company has completed corporate review, we believe we’ll now have (inaudible) foundation that will allow ATA to operate more efficiently going forward. It will also enable us to achieve great results in the initiatives we’re working on in fiscal year 2014. ATA has acknowledged a strong selection of the content in some trusted firms, excellent client relationship as well as what we believe to be the largest nation-wide network of test centers in China to support our (inaudible) for growth which we list on slide 15. A large demand of exams continues to be delivered in paper-based format in China. In fiscal year 2013, with the great amount of contract that made ATA the service provider for the CTA exam and we are currently working to transition other paper-based exam to ATA’s more efficient and the cost effective computer-based platform. In this regards, the goals we achieve in our traditional testing business within the private sector will provide the capital we need to grow our provide sector business. Additionally, we have made some major change to our sales and marketing approach for our TOEIC and HR selected business for corporate clients. In fiscal year 2014, we will focus on targeting the leads at (inaudible) in fiscal year 2013 to drive this business forward. In fiscal year 2013, we introduced the company to benefit of improved assessment tools and (inaudible) with ATA, and we believe that this additional time and education were laid out in new businesses wins for our company in the new fiscal year. With respect to TOEIC, we aim to finish the exam as the benchmark for English in the workforce in China, are working with we’re now global companies that require English as a skill. We are also working with universities and colleges to educate students about the benefit of taking TOEIC, as a (inaudible) of the English language capabilities in a professional (inaudible). ATA has also begun working on an exciting new project called the mobile testing system or MTS. The MTS will allow ATA to grow computer-based exam, delivering capabilities to clients outside of China, and we expect that to complete the environment and the roll out of this new product in the next few quarters. We are very pleased to share with you that Cambridge ESOL has selected ATA's MTS as its platform for its global junior English exams. We continue to explore the additional new test titles for potential test candidates and the industries we don't currently sell. As our paper test goes with time, we will also continue taking a proactive approach for marketing our exams and services to students, job seekers, and the potential employees. We believe that there continues to be many growth opportunities in China for ATA and that we look forward to achieving new milestones in this new fiscal year while generating excess cash flow to fund our source. With that operator, let us open it up for any questions.
Operator: Thank you. We will now be conducting our question and answer session. (Operator Instructions). Our first question comes from the line of Mark Marostica with Piper Jaffray. Please proceed with your question.
Mark Marostica - Piper Jaffray: Thank you and congratulation on the quarter. My first question is a two part question about your overall revenue guidance for fiscal ’14. The first part is whether the guidance reflects any contribution from exams that are new to the company or pipeline exams if you will or does the guidance represent only existing exams. And then secondly for your traditional business you comment on your pipeline of new potential paper and pencil conversions to electronic computer-based testing to help us understand where we might see some potential upside.
Benson Tsang: Mark, thank you for the questions. Regarding the first part of your question, regarding the revenue guidance 403 million to 423 million, towards the bottom of the range, we assuming very limited contribution for new business, the new initiative later on I will highlight and towards the high end of the range that will reflect contribution from the business initiative. The initiative I am referring to number one is the cooperation we have with Cambridge, ESOL. Currently we anticipate we will start rolling out some projects in some city for Cambridge and we do anticipate where we will get limited revenue from this cooperation and another initiative is regarding the paper-base conversion, converted to computer base examination. Currently, we have few projects in discussion and we have not concluded any. So, in the high end of the guidance range, if we manage to conclude some of the contracts, we expect will be moving towards the high end of the revenue guidance. And there are some other business initiatives we started this year as we started to look into continue education area. We approached different government related control associations, we approached them and offered them, we can help them to implement our continue education program to increase the quality or the knowledge of their members. And by doing that we are hoping it’s a starting point for us to introduce the testing surfaces to them as well. So these are the initiatives the company put together this year and we are hoping we can crystalize some of them and we can achieve the high end of the revenue guidance.
Mark Marostica - Piper Jaffray: Thank you for that color. Regarding again the guidance, how should we think about the quarterly mix of flow revenue throughout the year given the additional SAC exam that will be (inaudible) in the different cities?
Benson Tsang: In terms of the SAC exam in particular and this year when we build our internal budget we take a cautious approach. We are assuming we can deliver the same volume of test as 2013 which will be approximately 1.8 million tests. We also anticipate that split of the SAC exam volume will be evenly throughout each quarter. And overall for the revenue for the 403 to 423 we anticipate the split will be very similar to what we saw in 2013, approximately 40% of the revenue will be in the first half and 60% will be in the second half.
Mark Marostica - Piper Jaffray: Great and then the – along the same lines regarding the guidance but this time looking a little bit more profitability, with your efforts on the cost control side seemingly largely behind you now, I am curious how we think about operating margins for the company in the first quarter and then for the full year as well.
Benson Tsang: In terms of the gross margin, we anticipate that we will see improvement in 2014. We anticipate on a full year basis, we will try to achieve 49% to 51% as our gross margin. Specific for Q1 of first half, we anticipate on an non-GAAP basis, the net income will probably in the range of negative 3 million to negative 5 million for first half which is quite similar to what we achieved in 2013 and the majority or 100% of the revenue or net income will come from the second half of the year.
Mark Marostica - Piper Jaffray: And then on to commentary around the health of the business, it sounds like you are seeing some sense of stabilization at least in the SAC, can you comment on just the general health of the economic backdrop for you and what it means for the business, just trying to get a sense if you're seeing some stabilization or even improvement in the outlook.
Benson Tsang: In general what we see in the test market in China, if you look at the 2013 results we see a pretty decent growth in the traditional testing business. We strongly believe the trend to converting paper based exam to computer based exam is clear to us, and is also evident by the percentage growth in our traditional testing revenue. and we are comfortable we will continue to see revenue growth in this particular area; if we refer to the financial sector in particular we experience challenges in 2013, and we started to see financial securities and financial futures is slightly down now and we do not anticipate to see a further significant drop in this area. So far we see it’s pretty stable but in another sector within the financial sector which is the banking area, we still experience pretty good contribution from this area and for the exam to be provided in Q1 we anticipate single digit growth in this area. So overall I think in the financial sector including the banking, financial securities and financial futures we anticipate we may achieve a single digit growth in 2014, and overall in the testing area we seek quite a few opportunities and the team currently are working hard and try to crystallize some of the contracts in 2014.
Mark Marostica - Piper Jaffray: Okay great and then just one last question considering the guidance, again if you will, the contribution from traditional versus private testing, I'm curious what that would like look and what you are assuming for fiscal '14 and how that compares to the results of fiscal '13.
Benson Tsang: In terms of the revenue we anticipate the split will be very similar. we anticipate the public area on the traditional testing side will contribute roughly about 75% and the private sector will be about 25% I think that will be pretty consistent and in terms of the revenue or the net income on a non GAAP basis we considered the majority of the contribution will receive from the traditional business but we anticipate we'll see improvement in the net income contribution from the private sector.
Operator: Thank you. (Operator Instructions) It appears there are no further questions at this time. I would like to turn the floor back over to Mr. Kevin Ma, for any concluding remarks.
Kevin Ma: Thanks again to all of you for joining us; we look forward to speaking with you again after we report our quarter end. As always we welcome any visitors to our office in Beijing, thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference you may disconnect your lines at your time, thank you for your participation and have a wonderful day.